Operator: Good morning, ladies and gentlemen, and welcome to the Thermo Fisher Scientific 2017 second quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would like to introduce our moderator for the call, Mr. Kenneth Apicerno, Vice President, Investor Relations. Mr. Apicerno, you may begin the call.
Kenneth J. Apicerno - Thermo Fisher Scientific, Inc.: Good morning and thank you for joining us. On the call with me today is Marc Casper, our President and Chief Executive Officer, and Stephen Williamson, Senior Vice President and Chief Financial Officer. Please note this call is being webcast live and will be archived on the Investors section of our website, thermofisher.com, under the heading Webcasts & Presentations until August 4, 2017. A copy of the press release of our second quarter 2017 earnings and future expectations is available in the Investors section of our website under the heading Financial Results. So, before we begin, let me briefly cover our Safe Harbor statement. Various remarks that we may make about the company's future expectations, plans, and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's quarterly report on Form 10-Q for the quarter ended April 1, 2017 under the caption Risk Factors, which is on file with the Securities and Exchange Commission and also available in the Investors section of our website under the heading SEC Filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. Also, during this call, we'll be referring to certain financial measures not prepared in accordance with Generally Accepted Accounting Principles, or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release of our second quarter 2017 earnings and future expectations and also in the Investors section of our website under the heading Financial Information. So with that, I'll now turn the call over to Marc.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks, Ken. Good morning, everyone. Thank you for joining us today for our Q2 call. I'm pleased to report that we had another excellent quarter. Our team executed very well to deliver great financial performance. We made terrific progress in advancing our growth strategy, launching new high-impact products, and achieving strong results in emerging markets. And we continued to effectively deploy our capital, announcing our acquisition of Patheon, which will further strengthen our customer value proposition. Our performance in Q2 contributed to a strong first half, and we're right on track to deliver another great year. I'll cover these highlights in more detail during my remarks, starting with our financial results. First, we delivered another excellent quarter of adjusted EPS growth, with a 13% increase to $2.30 per share. As you know, we have a long track record of consistently delivering strong EPS performance, and we continued that trend in Q2. Our revenue in Q2 grew 10% year over year. Our adjusted operating income increased 13%, and we expanded our adjusted operating margin by 50 basis points to 23.3%. Our margin expansion reflects the continuous impact of our PPI [Practical Process Improvement] Business System, which is our foundation for operational discipline across the company. PPI creates competitive advantage for Thermo Fisher Scientific by increasing productivity and quality, which ultimately results in stronger customer allegiance. Our PPI Business System is a key driver of profitable growth and is a great playbook for optimizing our existing businesses as well as integrating acquisitions. To summarize the financial results, we achieved another great quarter that led to a strong first half, which puts us where we need to be at the midpoint of the year. Let me give you some color on our performance relative to our end markets. They played out as we expected and in line with our full-year guidance. Pharma and biotech continued to be our strongest end market, with growth in the mid-single digits in Q2. We continue to leverage our unique value proposition with these customers and saw strong performance across our biosciences, chromatography and mass spectrometry businesses, as well as our research and safety market channel. Turning to industrial and applied, we grew here at about the company average in Q2. Similar to last quarter, we saw good demand in our research and safety market channel from industrial customers. And we were encouraged to see a return to growth in our chemical analysis business in the quarter. Applied markets, particularly environmental and food safety, remained strong, as they have for quite some time. In our other two end markets, academic and government and diagnostics and healthcare, conditions were similar in Q2 to what we've been seeing for a number of quarters. We grew in the low single digits in both of these end markets. Now let me turn to some of our many business highlights we had in the quarter. As usual, I'll put them in the framework of our growth strategy, which is centered on developing high-impact innovative new products, leveraging our scale in Asia-Pacific and emerging markets, and delivering our unique value proposition to our customers. So, starting with innovation, as you will recall, we began the year strong and we increased our momentum in Q2 with a number of significant developments. Let me give you a few examples from the quarter. First, the American Society for Mass Spectrometry is always a great opportunity for us to reinforce our leadership, and we proudly celebrated our 50th anniversary in mass spectrometry this year. The progress we continue to make was very evident at ASMS, and I'll mention a couple of the highlights. For life science researchers, we continued to build our leading Orbitrap platform, raising the bar in both accuracy and speed to accelerate results from proteomics. The newly launched Q Exactive HF-X system was designed to improve analysis of complex biological samples in translational research and biopharma applications. For customers in applied markets, we launched two new Triple Stage Quadrupole systems that improve quantitative workflows in clinical research and forensic toxicology. For example, in our genetic analysis business, we introduced the new SeqStudio Genetic Analyzer. This is a simple to operate, affordable, and cloud-enabled system for customers working in low or mid-throughput genetic laboratories. This launch builds on our leading position across the genetic analysis workflow. Turning to diagnostics, we're very pleased to receive clearance from the U.S. FDA for two important tests that give clinicians the information they need to make better decisions for their patients. First, in a significant development, we were granted pre-market approval for the first companion diagnostic test using next-gen sequencing to screen for non-small-cell lung cancer. Our Oncomine Dx Target Test can simultaneously evaluate 23 genes associated with this disease and identify patients who may be a match for certain treatments. We developed the test in partnership with Novartis and Pfizer, and the goal is to expand its use beyond lung cancer in the future. This is an important milestone in our companywide effort to advance precision medicine and is a great example of the unique capabilities we have to support this global initiative. We also received 510(k) clearance to expand the use of our B.R.A.H.M.S. PCT-sensitive KRYPTOR assay to aid in antibiotic therapy decision-making. What this means is that the assay can help doctors decide when to administer antibiotics to patients with lower respiratory tract infections, or when to safely discontinue antibiotics in those patients. As a specific biomarker for bacterial infection, our PCT test is an effective tool for addressing the challenge of antibiotic resistance. The second element of our growth strategy is to leverage our scale in APAC and emerging markets. The headline here is that we delivered another strong quarter, with both China and India delivering double-digit growth. It's clear that our scale is an important competitive advantage for us, particularly in these regions. We continue to increase our presence in emerging markets, and our teams are effectively leveraging those investments to drive growth. A good example from the quarter comes from the Middle East, where we strengthened our long-term relationship with the King Abdullah University of Science and Technology in Saudi Arabia, better known as KAUST. We participated in the opening of the KAUST Center of Excellence for Electron Microscopy, which is a technology we added through our acquisition of FEI. The KAUST collaboration is intended to accelerate research by bringing these highly sophisticated tools to local scientists and industries for applications ranging from nanoparticles to life sciences. I'll also add that our electron microscopy business had strong performance again in Q2. As we approach the anniversary of the FEI acquisition in late September, the integration continues to go very smoothly. We're running ahead of our year one accretion targets, and that's driven by the combination of strong growth and synergies. Longer term, we're on track to deliver our year three synergy targets, and we're beginning to tap the many opportunities we have with FEI to create tremendous value for our customers. That's a good transition to the third element of our growth strategy, which is our customer value proposition. Our agreement to acquire Patheon is the latest example of the significant investments we continue to make to enhance our offering for our customers. We're really excited about the new outsourcing services we'll gain from Patheon, which will allow us to provide comprehensive support for our biopharma customers, from drug development to clinical trials to commercial manufacturing. When I talk to these customers, the feedback has been very positive, and they're eager to explore new opportunities to expand our partnerships. Here's a quick update on the progress we're making as we work towards the close. The integration teams from both companies are well into the planning phase so we can hit the ground running at the time of close. I've been very impressed by the state-of-the-art facilities I've seen and the world-class team I've met during the integration process. We've begun to put financing in place and we're moving through the regulatory process. We're very confident in our ability to close by the end of the year, and look forward to officially welcoming our new Patheon colleagues to Thermo Fisher. Including Patheon, we will have deployed approximately $8.5 billion of capital in 2017. Our successful capital deployment strategy gives us the ability to create significant shareholder value through a combination of strategic M&A, stock buybacks, and dividends. Let me now turn to our guidance for 2017. As you saw in our press release, we're raising both our revenue and adjusted EPS guidance for the full year. Stephen will cover the detail. But at a high level, we're raising our revenue guidance to a new range of $19.71 billion to $19.89 billion, which will result in 8% to 9% growth over 2016. In terms of our adjusted EPS guidance, we're raising it to a new range of $9.15 to $9.28 for 2017, for 11% to 12% growth over 2016. Before I turn the call over to Stephen, let me summarize our key takeaways from Q2. We delivered an excellent quarter, which contributed to a strong first half. We're successfully executing our growth strategy to create long-term value for our customers and shareholders. We're right on track at the midpoint of the year, and that positions us to achieve an excellent 2017. With that, I'll now hand the call over to our CFO, Stephen Williamson. Stephen?
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks, Marc, and good morning, everyone. I'll take you through an overview of our second quarter results for the total company, and then I'll provide some color on our four business segments and conclude with our updated 2017 guidance. Before I get into the details, let me start with a high-level view of how the second quarter played out versus our expectations at the time of the last earnings call. As you saw in our press release, we delivered 4% organic growth in Q2, and that was in line with our expectations for the quarter. FX came in about $50 million less of a headwind on revenue than we had expected, but was $0.01 more of a headwind on adjusted EPS due to transactional and non-operating FX losses in the quarter. However, despite the additional FX headwind on adjusted EPS, we were still able to finish $0.04 higher in Q2 than we had assumed at the midpoint of our previous guidance. This is due to excellent operational performance across the company, including strong volume and pull-through from our FEI electron microscopy business, so another quarter of very strong execution. Now let me give you more color on Q2. Starting with our total company financial performance, as you saw in our press release, we grew adjusted EPS in Q2 by 13%, to $2.30. GAAP EPS was $1.56, up 20% from Q2 last year. On the top line, our reported revenue grew 10% year over year. The components of our Q2 reported revenue included 4% organic growth, 8% growth from acquisitions, and a 1% headwind from foreign exchange. Looking at our growth by geography in Q2, North America grew about the company average and Europe grew in the low single digits. Asia-Pacific grew in the high single digits, including mid-teens growth in China, and rest of the world was flat this quarter. Turning to our operational performance, Q2 adjusted operating income increased 13% and adjusted operating margin was 23.3%, up 50 basis points from Q2 of last year. This 50 basis points of expansion was a result of good pull-through from our organic growth, driven by strong contributions from our PPI Business System and volume leverage. This was partially offset by unfavorable business mix, strategic investments, and foreign exchange. Adjusted gross margin came in at 48.3% in Q2. This represents a contraction of 30 basis points from the prior year, primarily driven by business mix and foreign exchange, partially offset by strong contributions from our PPI Business System. Adjusted SG&A in the quarter was 20.6% of revenue, which is 120 basis points favorable to Q2 2016, primarily driven by business mix and the impact of acquisitions. R&D expense came in at 4.4% of revenue, up 40 basis points versus Q2 last year. R&D as a percent of manufacturing revenue increased to 6.7%. This is 50 basis points higher than Q2 2016, primarily due to the impact of FEI's more significant R&D spend. Looking at our results below the line, net interest expense was $116 million, up $10 million from Q2 2016. Adjusted other income and expense was a net expense in the quarter of $7 million, which is $13 million unfavorable versus Q2 2016, which was driven primarily by changes in non-operating foreign exchange. Our adjusted tax rate in the quarter was 13.1%, which is 40 basis points lower than last year and right in line with our expectations for the quarter. The average diluted shares were 393.3 million, down 3.4 million year over year, mainly as a result of share buybacks, partially offset by option dilution. Turning to cash flow and the balance sheet, cash flow from continuing operations for the first half of the year was $1.21 billion, and free cash flow was $1.03 billion after deducting net capital expenditures of $180 million. We ended the quarter with $615 million in cash and investments. During Q2, we completed $250 million of share buybacks and paid $60 million in dividends. Our total debt at the end of Q2 was $16.8 billion, down $300 million sequentially from Q1, and our leverage ratio at the end of quarter was 3.4 times total debt to adjusted EBITDA, down from 3.6 times at the end of Q1. And wrapping up comments on our total company performance, we continued to see good year-over-year improvement in ROIC, even net of the impact of recent acquisitions. Our trailing 12 months adjusted ROIC at the end of Q2 was 10%, up 20 basis points over Q2 2016. Now let me provide you some color on the performance of our four business segments. Starting with the Life Sciences Solutions segment, reported revenue and organic revenue both increased 3% in Q2. In the quarter, our biosciences business delivered particularly strong growth. Q2 adjusted operating income in the segment increased 15%, and adjusted operating margin was up 340 basis points year over year to 31.9%. In the quarter, we saw a very strong productivity and volume pull-through, partially offset by business mix, strategic investments, and the dilutive impact of acquisitions. In the Analytical Instruments segment, which includes our new FEI electron microscopy business, reported revenue increased 47% in Q2 and organic revenue growth was 6%. In the quarter, we had strong growth in chromatography and in the mass spec business. And it was encouraging to see the chemical analysis business return to positive growth, as Marc mentioned earlier. Q2 adjusted operating income in Analytical Instruments grew 61%, and adjusted operating margin was 20%, up 170 basis points year over year. In the quarter, we continued to see a positive impact from the electron microscopy business as well as strong volume leverage and productivity. This was partially offset by FX and strategic investments. Turning to the Specialty Diagnostics segment, in Q2 total revenue grew 1% and organic revenue growth was 2%. Our transplant diagnostics business delivered particularly strong growth in the quarter. Adjusted operating income decreased 1% in Q2 and adjusted operating margin was 27.3%, which represents a contraction of 60 basis points from Q2 of the prior year. Adjusted operating margin was positively impacted by good productivity, but this was more than offset by strategic investments and business mix. Finally, in the Lab Products and Services segment, Q2 reported revenue increased 4% and organic revenue growth was 5%. In the quarter, our channel business delivered particularly strong growth. Adjusted operating income in the segment decreased 5% and adjusted operating margin was 13.8%, down 130 basis points from the prior year. Adjusted operating margin benefited from both productivity and volume leverage. However, as expected, this was more than offset by the impact of the unfavorable business mix, driven by our biopharma services business, which was impacted by the discontinuation of a large Phase 3 clinical trial last year, as we mentioned last quarter. With that, I'll now move on to our full-year 2017 guidance. As you saw in our press release, we are raising our guidance. Let me walk you through the details, starting with revenue. We continue to expect to deliver 4% organic revenue growth for full-year 2017. The midpoint of our revenue guidance is increasing $190 million. Of that increase, $160 million reflects a less adverse foreign exchange environment, and $30 million reflects the improvement in the outlook from our FEI acquisition. In terms of adjusted earnings per share, there were two key changes to our guidance. First, we're increasing the midpoint of our guidance by $0.065 to reflect our strong Q2 operational performance and a less adverse FX environment for the year. And second, as you may have seen, we've started the process of securing permanent financing for the Patheon acquisition, and last week we completed a $3 billion European bond offering. For 2017, the interest on this new debt will equate to approximately $0.05 of adjusted earnings per share, and we factored this into our revised guidance. As is our usual practice, our guidance does not include any future acquisitions or divestitures, and therefore it does not include Patheon or any related future financing activities. And finally, with another quarter of great performance behind us, we're narrowing our revenue guidance range by $180 million and narrowing our adjusted earnings per share range by $0.13. Summing this all up, the increased 2017 revenue guidance is now a range of $19.71 billion to $19.89 billion, which would represent 8% to 9% growth versus 2016. We expect acquisitions to contribute just under 5% to our reported revenue growth in 2017, and foreign exchange is expected to be a headwind of $90 million or 0.5%, and as I mentioned previously, 4% organic growth. In terms of adjusted earnings per share, our increased 2017 guidance is now a range of $9.15 to $9.28, with a midpoint of $9.215. This represents growth of 11% to 12% versus 2016. We now expect a headwind from foreign exchange of $0.15 or just under 2%. That is $0.02 less of a headwind than our previous guidance. Excluding the impact of foreign exchange, this would represent adjusted earnings per share growth of 12% to 14%. A few other details behind our revised 2017 guidance, we now expect 50 to 60 basis points of adjusted operating margin expansion year over year compared to the 40 to 60 basis points in our previous guidance. Foreign exchange is now a 10 basis point headwind for the year compared to a net neutral in our previous guidance. However, this is being more than offset by the strong operational performance. We're expecting net interest expense to be about $480 million and other income and expense to be a net expense of $12 million. We continue to forecast our adjusted income tax rate to be 13.3% for the year. We've completed $750 million of share buybacks this year. And given the pending acquisition of Patheon, at this point we do not expect any additional buybacks in 2017. We continue to assume we'll return approximately $240 million of capital to shareholders through dividends in 2017, and full-year average diluted shares are estimated to be in the range of 393 million to 394 million, consistent with our previous guidance. We're assuming net capital expenditures to be approximately $500 million, no change from the previous guidance. And we continue to expect about $3.15 billion of free cash flow for full-year 2017. And finally, in terms of phasing, we're expecting organic growth to be relatively even over the remainder of the year. For adjusted earnings per share, we expect that it will be phased across the remaining six months of the year in a similar way to the same period in 2016. As always, in interpreting our revenue and adjusted EPS guidance ranges, you should focus on the midpoint as the most likely view of how we see results playing out. So in summary, we delivered another strong quarter in Q2, which positions us well at the halfway point to achieve our full-year 2017 financial goals. With that, I'll turn the call back over to Ken.
Kenneth J. Apicerno - Thermo Fisher Scientific, Inc.: Thanks, Stephen. Dan, we're ready to open it up for questions.
Operator: Certainly. Our first question today comes from the line of Ross Muken with Evercore ISI. Please go ahead.
Ross Muken - Evercore ISI: Good morning, gentlemen.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Good morning, Ross.
Ross Muken - Evercore ISI: So, Marc, the company has had a remarkable ability to identify assets before inflections in their business. Obviously, it happened with Life Tech, and now we're seeing it with FEI. I count the core growth there was north of 20%, so that business is seemingly on fire. I guess as we think about that, and then eventually Patheon rolling into the organic over time, what would it take, from an end market perspective, or what mix or shift of businesses would have to happen for organic growth not to ultimately accelerate from here? And I guess, as you look at the end markets as they trended over the balance of the quarter, what if anything should we keep in mind as an offset to this? Because it seems like, versus where we were several years ago, the business is poised to now be at the upper end of the peer group from a core growth perspective.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Ross, thanks for the question. I guess, a few thoughts. One is, the FEI acquisition is performing very well. The integration is an intensive effort, and the team really has not been distracted, so they're doing a good job of integrating the business, but they're also delivering good growth and good bookings. And that's a testament to the strength of the team and the proven integration processes we have, so that's obviously a positive. As I look towards the end markets just broadly in terms of growth, at a high level, we finished the first half up 4%. Each quarter was 4%. We maintained our guidance at 4% for the year. Obviously, we're going to strive to drive to the best possible performance. If I'd say what are the catalysts from here in terms of stronger momentum as you think about 2018 and beyond, or even second half and beyond, it's going to be, let's get a U.S. government budget in place for 2018. It was good to get the 2017 budget. It was good to see NIH funding increased. We'll continue to educate Congress, but I feel good about that process. So if we can get – skip a continuing resolution, get a budget in place, that would clearly continue some momentum in academic. And then, at least from our own perspective, we don't really wait for the end markets; it's the actions we take. So we have a lot of effort around product development that put us in a position to be in the higher ends of our growth targets. So that's how I would think about it, Ross, at a high level.
Ross Muken - Evercore ISI: And maybe just on the pharma end market, you gave a few points that were helpful. As you think about the pacing there and what we've seen in different sub-segments of that market, I know I think coming into the year, you guys had talked about growth rates consistent with what we've seen, or maybe they've been slightly better. But how are you thinking about the exit velocity of that business out of the quarter, or that segment, and then some of the moving parts there, in terms of how that's likely to trend?
Marc N. Casper - Thermo Fisher Scientific, Inc.: So, Ross, let me give you a relatively comprehensive view on pharma and biotech. I know it's an area of interest. First is, pharma and biotech is our strongest end market. We performed very well in the quarter. We grew a couple points higher than the company average serving that market. In terms of what drove that growth, first, as I mentioned last quarter, our clinical trials business was impacted by the discontinuation of a large Phase 3 study, and that headwind will sunset in Q4. Bioproduction growth was a bit more muted this quarter, and you've seen that across the industry. The super important point to highlight is that our business is serving the research customers. Biosciences, chromatography and mass spectrometry, and the channel, they all grew incredibly strongly in the quarter. So it was another great quarter for us, and our value proposition continues to resonate very well with the customer base.
Ross Muken - Evercore ISI: That's helpful, thank you.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks, Ross.
Operator: Your next question comes from the line of Tycho Peterson with JPMorgan. Please go ahead.
Tycho W. Peterson - JPMorgan Securities LLC: Hey, thanks. Marc, maybe I want to pick up on that last point on the Life Sciences Solutions. It was the slowest growth we've seen in a little while for that segment. Can you maybe just talk on your outlook there, and some of the comments you've previously made on bioprocess being a little bit softer?
Marc N. Casper - Thermo Fisher Scientific, Inc.: Sure, Tycho, thanks for the question. So, when you look at Life Sciences Solutions, we had 7% growth in Q1, 3% growth in Q2, 5% average for the first half. I would focus on the 5% average. And when you look at – Easter played a little bit of an effect with a little bit of a benefit in Q1, obviously a little bit of a headwind in Q2. And when I look at the outlook for the business, it looks good. When you get into the details of why was growth a little bit slower, particularly in Q2, holding aside timing and those things, bioproduction was a little bit more in line with where the industry was growing in this particular quarter, and the biosciences business continues to do very well. So that's really the factors from Life Sciences Solutions.
Tycho W. Peterson - JPMorgan Securities LLC: And then following up on the FEI question, how much of the inflection we're seeing now is on the Cryo-EM side versus the semi cycle picking up for that business?
Marc N. Casper - Thermo Fisher Scientific, Inc.: So when you look at the performance of the Cryo-EM, that continues to go extremely well, with strong growth in revenue and strong growth in bookings. The material science business, which includes basically everything else, semiconductor and all the other applications for electron microscopy, clearly is continuing to be very strong. And you're seeing the benefit of a strong pipeline in semiconductor as well as good performance in material science applications elsewhere. So that business is performing at a very strong level.
Tycho W. Peterson - JPMorgan Securities LLC: Okay, and then just last one on capital deployment. With the equity issuance component to the Patheon deal, it seems like the door is still open to attempt to do another acquisition in the near to intermediate term. Can you maybe just talk on your appetite and willingness to do another deal?
Marc N. Casper - Thermo Fisher Scientific, Inc.: From our perspective, our number one priority is to run the businesses that we have and run them very well. And we're excited about our portfolio, and we're looking forward to closing Patheon and successfully integrating that and creating value for our customers and our shareholders. We continue to have an active pipeline of smaller bolt-on transactions, and we'll continue to look at those transactions. And should the right ones make sense, you will continue to see us do a modest level of M&A from that perspective.
Tycho W. Peterson - JPMorgan Securities LLC: Okay, thank you.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks, Tycho.
Operator: Your next question comes from the line of Derik de Bruin with Bank of America. Please go ahead.
Derik de Bruin - Bank of America Merrill Lynch: Hi, good morning.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Good morning, Derik.
Derik de Bruin - Bank of America Merrill Lynch: Hey. The Specialty Diagnostics businesses for the second quarter in a row has been a little bit below what we had calculated. And I think we're trying to fathom that, given that the patient visit data looks pretty decent from IMS and some of the other ones. Can you talk us through what's going on in the Specialty Diagnostics business? And is there something going on from a healthcare perspective? Are people worried about healthcare reform or something like that? Can you walk us through – are people not buying or worried about how many people are not buying instruments or things like that that is potentially slowing the market down?
Marc N. Casper - Thermo Fisher Scientific, Inc.: Derik, it's a very good question, so let's delve into Specialty Diagnostics a little bit. It was low single-digit growth in the quarter, consistent with what we've seen over the last few quarters. The two businesses that had very strong growth were our biomarker business and our transplant diagnostic business, and every other business in that portfolio was stable and all grew modestly. So if you look at it from a product range perspective, two really strong growing businesses and then the rest of the portfolio stable and modest growth. When you look at geographically, really it was Europe that was not robust. North America is fine. And when you look at the activity, it seems that there are many bright spots in Europe, but it seems that healthcare was relatively modest from that perspective. So I wouldn't be reading too much into the ACA and PAMA and those things. That's not really been a big factor. We are taking a number of actions to strengthen the growth prospects of that business. Obviously, our Specialty Diagnostics business is incredibly profitable. It's been incredibly stable. It has great brand and customer allegiance, and it's all about taking low single-digit growth and making it faster. You probably saw that we introduced but did not launch yet our Cascadion mass spectrometer, and we will also introduce that at AACC [American Association of Clinical Chemistry]. That is intended for being launched sometime during the course of 2018, so it's not going to affect any revenue this year, but we want customers to get it into the budget cycle. So we're making progress but obviously, we were not planning to launch it this year anyway. But we're just working our way through that process, which should help growth over time as well.
Derik de Bruin - Bank of America Merrill Lynch: Great, and then just one follow-up question. You called out in LPS that the channel business was quite strong. Considering that everyone is worried about Amazon in the world today, could you elaborate on how strong the channel business was and just give us a little bit more detail?
Marc N. Casper - Thermo Fisher Scientific, Inc.: The channel was very strong in the U.S. It was very strong in Europe. It was very strong in biotech and pharma, and it was very strong in industrial. There were no weak spots in the channel business. The team is doing a great job. And we take Amazon very seriously and we always have, and it's our job to manage through that. We're making big investments in our e-commerce capabilities, big investments in supply chain, the great personnel we have working in customer labs every day that really handles the hazardous goods or refrigerated materials. And the customer allegiance we have in the channel is fantastic. So that's how I would characterize it.
Derik de Bruin - Bank of America Merrill Lynch: Great, thank you very much. I'll get back in the queue.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks.
Operator: Your next question comes from the line of Doug Schenkel with Cowen & Company. Please go ahead.
Doug Schenkel - Cowen & Co. LLC: Hey, good morning, guys, and thank you for taking my questions. I just want to go back to Life Sciences Solutions for a minute. You talked a bit about bioprocessing growth coming back to the industry average. Is that just a function of the inherent lumpiness of that business, or is there something different going on fundamentally than maybe a quarter or two ago? And also within Life Sciences Solutions, I believe this is the first quarter where Affymetrix is fully in organic growth. I'm curious how integration is going there and if Affy was actually dilutive to Life Sciences Solutions organic growth in the quarter.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Doug, thanks for the question. So yes, bioproduction is definitely a lumpy business, and the long-term prospect for bioproduction is fantastic. When you think about the demand for biologics, biosimilars, vaccines in the pipeline, we are very bullish. One of the leading indicators we have is our biosciences business serves the research customer base with those technologies, especially media and sera, and that business is incredibly robust, so the activity level is very strong. So nothing is changing on the long-term outlook. There's some lumpiness. In Q2, while it grew reasonably, it was softer than the very torrid growth that we had the last few quarters, and we would expect that growth will pick up over time there. So that's our view on bioproduction. On the microarray business, really good news, we've always been transparent with everything, and we started out slower after the acquisition of that business. We had good growth in the microarray business. We had good growth in the e-biosciences business. Synergies have been very strong. And when you look at the full-year accretion in 2017, I am really excited that the team has put us right back on track for achieving the deal model goals for 2017 after starting off a little bit soft. This team has done a great job, so very good growth in microarrays in the quarter.
Doug Schenkel - Cowen & Co. LLC: Okay, thank you for that. Pivoting to Europe, I think you guys grew low single digits in Europe. That's a bit lower than the growth rate we've seen from you over the past couple of quarters. Some of your peers have actually talked a bit about higher growth in Europe. Could you just talk about how Europe is going by end market and what's factored into guidance in terms of your expectations for the rest of the year?
Marc N. Casper - Thermo Fisher Scientific, Inc.: I think Europe – when I look at performance in Europe, Easter is obviously going to be the big swing factor. I just did a review with the team, our European leadership yesterday, and they feel good. So Q1 was strong. Q2 was more modest growth, and then that's really the shift of where the holiday was. And when they look at their outlook for the balance of the year, it's right in line with growth that should be for the full year just below the company average.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Which is what we had guided to originally.
Marc N. Casper - Thermo Fisher Scientific, Inc.: So I don't see Europe as a major story. If you go down to the end markets, I would say that the diagnostic business across is a little bit softer than we originally would have expected, and the rest of the segments are a little bit stronger would be the take.
Doug Schenkel - Cowen & Co. LLC: Okay, one last one, I just want to make sure. I think this is the case, but I just want to make sure that you still are assuming mid-single-digit to high single-digit biopharmaceutical end market growth in your full-year guidance.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Yes, so the last few years, we've started out our guidance for biopharma end market being mid-single to high single-digit growth, and that continues to be our outlook for this year, so no change. And when you look at the first half, we're right in the middle of that range at this point.
Doug Schenkel - Cowen & Co. LLC: Okay, that's great, thank you again.
Marc N. Casper - Thermo Fisher Scientific, Inc.: You're welcome.
Operator: Your next question comes from the line of Jack Meehan with Barclays. Please go ahead.
Jack Meehan - Barclays Capital, Inc.: Thanks, good morning. I wanted to dig a little bit more into the analytical instrument performance, another good organic there. Can you talk about the trends throughout the quarter? Good to hear about chemical analysis, but just how things trended and the outlook there for the rest of the year.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Yeah, the Analytical Instruments business, it's a really positive story. And if you think about for a lot of quarters, like many, we've talked about how strong the chrome and mass spec business was and that it was offsetting weakness in chemical analysis. The chrome mass spec business was very strong in the quarter, and it was particularly strong serving the biotech and pharmaceutical customers. So that business is really humming. And chemical analysis returned to growth, which is great. And we saw both our long-cycle and short-cycle revenue to the industrial customer base pick up, and bookings continue to be positive, so that's good.
Stephen Williamson - Thermo Fisher Scientific, Inc.: And, Jack, this is Stephen. Just to add on the chemical analysis side, we've been seeing that trend for a while in terms of the bookings coming. And it's good to see that both the short-cycle and long-cycle aspect of that business picking up and delivered positive organic growth in Q2.
Marc N. Casper - Thermo Fisher Scientific, Inc.: And then obviously in the fourth quarter, the last week of September and the fourth quarter, the electron microscopy business will become part of the organic growth calculation for those businesses as well. So the Analytical Instruments team is doing a really good job, and the results demonstrate that.
Jack Meehan - Barclays Capital, Inc.: Great, that's helpful, and then one for Stephen. I think it's a similar question I asked last quarter. Just the margins in LPS, could you elaborate a little bit more there? Is it just the biopharma services contract you talked about, or are there any other mix changes in the channel?
Stephen Williamson - Thermo Fisher Scientific, Inc.: It's really the drivers are the clinical trials business, the biopharma services, the same drivers as last quarter in terms of the pressure there, and that will sunset by Q4.
Jack Meehan - Barclays Capital, Inc.: Outside of that, would margins have been up in the quarter in that segment?
Stephen Williamson - Thermo Fisher Scientific, Inc.: Yes, marginally yes. It's not as if we'll see significant margin expansion over time. But yes, that's correct.
Jack Meehan - Barclays Capital, Inc.: Thanks.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thank you.
Operator: Your next question comes from the line of Timothy Evans with Wells Fargo Securities. Please go ahead.
Tim C. Evans - Wells Fargo Securities LLC: Thanks. Marc, on the large clinical trial cancellation, if that had not occurred, would you be calling out, say, something more like mid to high single-digit growth this quarter in the pharma end market? Is it big enough to skew things that much?
Marc N. Casper - Thermo Fisher Scientific, Inc.: Yes, it would have been high single-digit growth, right around that range, yes.
Tim C. Evans - Wells Fargo Securities LLC: Would it have been high single-digit growth without that cancellation?
Marc N. Casper - Thermo Fisher Scientific, Inc.: Yes.
Tim C. Evans - Wells Fargo Securities LLC: Okay, great. And then just on the EPS bridge, I want to make sure that we have that on the guidance. So it's going up $0.065 at the midpoint. It sounds like that's absorbing $0.05 of interest, and then you've got $0.02 FX. So basically we're talking – is that right?
Stephen Williamson - Thermo Fisher Scientific, Inc.: Let me just clarify. The $0.065 includes the FX piece, so it's operational performance in Q2 plus the change in FX for the year, and my guidance is $0.02. That gets you the $0.065 increase, and that's offset by $0.05 dilution from the interest cost on the European bond offering.
Tim C. Evans - Wells Fargo Securities LLC: Okay.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Other than that, the midpoint is $0.015.
Tim C. Evans - Wells Fargo Securities LLC: That's great. Thank you, okay.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks, Tim.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks, Tim.
Operator: Your next question comes from the line of Steve Willoughby with Cleveland Research. Please go ahead.
Stephen Willoughby - Cleveland Research Co. LLC: Hi, good morning and thanks for taking my questions.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Good morning, Steve.
Stephen Willoughby - Cleveland Research Co. LLC: Just I was wondering if you could comment a bit more on what you're seeing in the academic end market. I believe, and I might have missed some of it, you commented that it was a little bit weaker this quarter. I'm just trying to see what you saw both, I guess, from academic and government, both in the U.S. and in Europe, and what your expectations are over the rest of the year?
Marc N. Casper - Thermo Fisher Scientific, Inc.: Actually, academic and government, while still low single digit, wasn't weaker. It actually was slightly better than Q1. And, when you look at it, actually North America was a bit better. So I think the fact that you got a 2017 budget, it showed the increase in NIH, that's starting to flow into the results. Geographically, China was good as well, and Europe was a little bit softer, and it's probably mostly timing between Q1 and Q2.
Stephen Willoughby - Cleveland Research Co. LLC: Okay, and then just one follow-up question for Stephen. Within the guidance bridge that you were talking about there, the operational performance, can you describe or quantify how much of that is stronger growth from FEI versus the underlying base business?
Stephen Williamson - Thermo Fisher Scientific, Inc.: It's approximately $0.03 more from FEI and $0.015 from the base business.
Stephen Willoughby - Cleveland Research Co. LLC: Great, thank you.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks.
Operator: Your next question comes from the line of Dan Arias with Citigroup. Please go ahead.
Daniel Arias - Citigroup Global Markets, Inc.: Hi, good morning. Thanks. Marc or Stephen, to your points on chemical analysis, does that feel like that business should stay positive in the back half of the year, just given the way bookings are shaping up?
Marc N. Casper - Thermo Fisher Scientific, Inc.: We don't forecast by each of our businesses, especially at that level. But clearly, the trends are positive and I think that's a reasonable assumption you're making.
Daniel Arias - Citigroup Global Markets, Inc.: Okay, thanks. And maybe just on China, curious if you're willing to parse out the growth that you're seeing, or you're expecting this year. If we just look at life sciences, the life sciences piece versus the applied industrial business. Just be helpful to understand the relative contributions there on the two sides of the equation.
Marc N. Casper - Thermo Fisher Scientific, Inc.: So we had mid-teens growth in China. We had strong bookings. The outlook is good for the full year, that's been trends continued. Clearly, our customers value our scale and the experience that we create because of that scale. In terms of more color, I would say generally, the business across pharma and biotech, life science research, those typically is pretty strong. Industrial is recovering and growing. Applied is very strong there, as is healthcare and diagnostics. So it's fairly broad-based, right, in terms of what the growth is in China.
Daniel Arias - Citigroup Global Markets, Inc.: Okay. And just finishing, on your comment on the outlook, is a double-digit growth rate for the year assumed in guidance for China?
Stephen Williamson - Thermo Fisher Scientific, Inc.: Yes, our guidance assumes basically double-digit growth for China.
Marc N. Casper - Thermo Fisher Scientific, Inc.: As you know, it's our fastest growing market. It has been and it's a market we think the outlook is very strong.
Stephen Williamson - Thermo Fisher Scientific, Inc.: I think the bookings profile is very positive.
Daniel Arias - Citigroup Global Markets, Inc.: Got you, okay. Thank you, guys.
Operator: Your next question comes from the line of Isaac Ro with Goldman Sachs. Please go ahead.
Joel Kaufman - Goldman Sachs & Co. LLC: Thanks, it's actually Joel in for Isaac.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Hi, Joel.
Joel Kaufman - Goldman Sachs & Co. LLC: Just touching back on the FEI question, maybe just focusing in on the Cryo-EM opportunity, could you maybe comment on whether, just given the underlying academic funding environment, if there's been wallet share dynamics with other technologies in the lab, that you've been gaining some share from, that contributed to the growth in the first half of the year?
Marc N. Casper - Thermo Fisher Scientific, Inc.: I think that, from my interactions with customers around Cryo-EM, and there's been a number – wow, what an amazing technology. The enthusiasm across the customer base is huge, and it's making them rethink other large investment areas that might have traditionally gotten that funding. So, I have not heard funding. In all of the discussions, funding has not come up as an issue, meaning that this is profound enough that customers will go out and get the money. And in those areas where there's lots and lots of funding, that's one way. And if there are other areas where funding is more muted, they're probably taking it from other technologies, and likely from technologies that we don't provide, so we're not cannibalizing ourselves.
Joel Kaufman - Goldman Sachs & Co. LLC: Great, thanks, and then just maybe one on the P&L. Looks like there's been a little bit of an uptick in R&D expense in the first half of the year. Just how should we be thinking about that line item throughout the remainder of 2017?
Stephen Williamson - Thermo Fisher Scientific, Inc.: So in terms of the R&D, the driver of the change as a percentage really is the inclusion of FEI. It has a higher than average across the company spend in R&D. We're continuing to invest in that business, so that dynamic will play out in Q3, and then it will be in the comps in Q4 overall. Actually, among Q3 for FEI, just as a reminder, that we have the stub period, which was a very profitable stub period in Q3 last year, and that will be it in our comps in terms of margin expansion as you look at the second half of the year for the company as a whole, so it has a little bit of a drag on Q3 margins.
Joel Kaufman - Goldman Sachs & Co. LLC: Great, thanks.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks, Joel.
Operator: Your next question comes from Paul Knight with Janney Montgomery. Please go ahead.
Paul Richard Knight - Janney Montgomery Scott LLC: Hi, Marc. Could you talk about FEI? Was the growth there a component of the semiconductor cycle, just the level of – the breakout of that growth would be helpful? Thanks.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Sure. So, Paul, when you look at the FEI business, the growth was very, very robust in the life science applications, in the semiconductor applications, and we had good growth in the remaining material science applications. So the business would have delivered strong growth even if semiconductor was more muted, but semiconductor was very strong and bookings were very strong. So that's very positive in terms of how the business is performing.
Paul Richard Knight - Janney Montgomery Scott LLC: And then regarding China, do you think – do you see budget cycles or with a five-year plan now in place, is it a consistent rollout this year?
Marc N. Casper - Thermo Fisher Scientific, Inc.: It's been very good now for quite a number of quarters. Since the beginning of 2015, we've had very strong growth every quarter in China, and the outlook continues to be quite good. We're very aligned with the five-year plan. As you know, China has a big focus on environmental protection, a big focus on food safety, and certainly around expanding the healthcare market, as well their healthcare capabilities. So we're seeing broad-based growth, and we would expect China to continue to be our fastest growing end market.
Paul Richard Knight - Janney Montgomery Scott LLC: Thank you.
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thanks, Paul.
Operator: Your next question comes from the line of Brandon Couillard with Jefferies. Please go ahead.
Brandon Couillard - Jefferies LLC: Thanks, good morning, just a couple housekeeping questions we're seeing. On Patheon, number one, would you care to update us on what you view as the anticipated accretion in year one now that the debt financing is in place? Number two, what are the next steps or exact approval milestones needed before closing? And thirdly, can you just explain the rationale of keeping the interest expense in the core EPS number rather than backing it out before the close?
Marc N. Casper - Thermo Fisher Scientific, Inc.: So I'll do part of it and Stephen will do part of it. I'll do the path to close, and Stephen will do the two financial questions. In terms of the path to close, we obviously got our U.S. clearance quickly. The European Union accepted the filing, which means that they start the regulatory process, which will go on during the course of the summer. And then the last of the regulatory filings, which has a more variable range on when it will wrap up, is Brazil, which we're working through. And then we need to have the shareholder vote and the tender process, which we're working through as well. So we feel very confident that the transaction will close before the end of the year or by the end of the year, and we're just working to work that through as expeditiously as possible.
Stephen Williamson - Thermo Fisher Scientific, Inc.: And in terms of the financing, obviously we're working to ensure that we've got the permanent financing in place for the timing of the deal close, whenever that may happen. You saw the first part of that being executed last week, which was the European bond offering that we did, so that was $3 billion of a debt raise, so that's just the first element. We've got additional debt to raise and we've got an equity element as well. And we continue to work the rest of those elements, and those details will be public as we execute those. In terms of the guidance, so we actually completed the European bond offering, so it's a known event. So I included it in the guidance for the full year. So that's a consistent approach in the way that we have approached pending acquisitions in the past. So we're treating Patheon and its related financing in that consistent way. So as things will crystallize, I put them into the guidance.
Brandon Couillard - Jefferies LLC: Pretty good, thank you.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks, Brandon.
Kenneth J. Apicerno - Thermo Fisher Scientific, Inc.: Dan, we have time for just one more.
Operator: And our final question will come from the line of Catherine Schulte with Robert W. Baird. Please go ahead.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Hi, thanks for the questions. You mentioned getting a U.S. budget in place would be a positive. What kind of size of NIH funding increase would you need to see to consider it a good enough outcome?
Marc N. Casper - Thermo Fisher Scientific, Inc.: I was with members of Congress fairly recently. I think the strong support for continued funding of NIH and continued growth in funding, and we'll continue to educate the importance of that. Things like the 21st Century Cures is obviously a positive. To us, what we're focused on is to avoid the continuing resolution, which obviously creates some level of uncertainty and freezes budgets. The House is talking I think a $1 billion increase, and I think the Senate might be talking a little bit more. The exact number to me is less of a focus than an increase in funding and getting a budget done.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Okay. I have...
Marc N. Casper - Thermo Fisher Scientific, Inc.: Thank you, Catherine.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Talk about your organic growth assumptions by division for the back half of the year?
Stephen Williamson - Thermo Fisher Scientific, Inc.: Really, I think in terms of the of the full-year outlook, it hasn't changed in terms of our initial guide. So I think Life Sciences Solutions and Analytical Instruments would be the faster-growing businesses out of the four. So that's really the way to think about the speed of growth for the respective businesses for the full year.
Catherine Ramsey Schulte - Robert W. Baird & Co., Inc.: Okay, great. Thank you.
Stephen Williamson - Thermo Fisher Scientific, Inc.: Thanks, Catherine.
Marc N. Casper - Thermo Fisher Scientific, Inc.: So let me just wrap it up briefly. As we reflect on where we are, we're very pleased to have achieved a strong first half, and we're very well-positioned to deliver another great year. And of course, thank you for your support of Thermo Fisher Scientific. We look forward to updating you on the Q3 call. Thanks, everyone.
Operator: Thanks to everyone for attending. This will conclude today's conference call, and you may now disconnect.